Operator: Ladies and gentlemen, thank you for joining us, and welcome to Lithium Royalty Corp.'s Third Quarter 2025 Results Conference Call. This call is being recorded on Tuesday, November 4, 2025. [Operator Instructions] I would now like to turn the conference over to Jonida Zaganjori, Vice President of Investor Relations at Lithium Royalty Corp. Please go ahead.
Jonida Zaganjori: Good morning, and welcome to Lithium Royalty Corp.'s Third Quarter 2025 Results Call. Please note that our complete financial results are available on our website, lithiumroyaltycorp.com, under the Investors tab and on SEDAR+. This event is being webcast live. A replay of this call will be available on our website. Joining us today are Ernie Ortiz, President and CEO of Lithium Royalty Corp.; and Dominique Barker, Chief Financial Officer at LRC. Ernie will begin with introductory remarks, followed by Dominique, who will provide an overview of our financial results. After the presentations, we will transition to a Q&A session where our executive team will respond to your questions. We would like to remind participants that today's commentaries may contain forward-looking information. For more details and other important notices, please refer to our press release dated November 3, 2025, available on our website and on SEDAR+. Please note that all figures referred to on today's call are in U.S. dollars unless otherwise noted. I will now turn the call over to Ernie.
Ernie Ortiz Ortega: Thank you, Jonida, and good morning, everyone. Revenue in the quarter was $417,000. This figure increased by 86% compared to the year ago figure. The increase in revenue was driven by the tailwind from positive quotational pricing adjustments that had previously been subtracted to revenue. Similarly, the quarter benefited from easier year-over-year comparisons as core Lithium's last shipments occurred in the second quarter of 2024, and are no longer factored in the year-over-year figure. Pricing was a headwind with SMM reporting a year-on-year price decline of 6% despite a 14% sequential increase for spodumene concentrate. Spodumene prices were volatile in the quarter with a range of $620 per tonne at the lows to a peak of $1,000 per tonne. The quarter exited with prices at approximately $850 per tonne and are currently trading near $950 per tonne. In a sign of the magnitude of the recent downturn, if spot prices hold at the current levels for the remainder of the year, then the fourth quarter of 2025 would be the first quarter in which the sector sees year-on-year price increases since the first quarter of 2023, or since LRC became a public company. LRC has witnessed portfolio maturation that positions the company well to deliver revenue growth in the years ahead, irrespective of the pricing environment. In this vein, LRC is pleased to congratulate Zijin Mining on their start-up of the Tres Quebradas lithium project in Argentina during the third quarter of 2025. Zijin started production at this large-scale asset and is actively ramping up production that should see more meaningful contribution in 2026. The company was able to complete one small shipment during the quarter that translated into LRC recording its first ever revenue from the Tres Quebradas project. Zijin is actively working to increase output as it ramps to nameplate capacity for its Stage 1 project of 20,000 tonnes per year. As part of Zijin start-up commentary, Zijin also disclosed that its Stage 2 production profile is now 40,000 tonnes per year compared to the prior guidance of 30,000 tonnes per year. This start-up complements the inauguration of Ganfeng Lithium's Mariana Lithium project in Salta, Argentina earlier this year, which continues to derisk with first revenue expected for LRC in the near term. Also in the quarter, Sinova Global started production at its Horse Creek mine in British Columbia. Sinova Global started production mainly to test the capabilities of the mine and near-term production could be sporadic, although we expect first revenue from the Horse Creek mine in 2026 from the recent production. Atlas Lithium continues to advance the Das Neves asset in Brazil. Atlas has a DMS facility in Belo Horizonte and is awaiting additional environmental permitting to progress to construction. The company is well advanced in its development and could be one of the earliest greenfield mines to enter production in the next cycle. Core Lithium remains a high-quality asset for LRC. The company completed a $50 million equity raise to accelerate the restart of the Finniss lithium project and to expedite the BP33 box cut and decline development. LRC visited the site in October and can attest to the high-quality DMS plant on site, the solid infrastructure it has with proximity to port and the unencumbered material it has from its 205,000 tonnes SC6 nameplate capacity. Core is advancing the project towards a final investment decision to restart the mine. In the quarter, we were active on our NCIB program. We acquired 4,400 shares at an average price of $5.90 per share. This brings our buybacks for the year to almost 716,000 shares at a price of $5.63. In addition, we were able to acquire our 36th royalty in the quarter on the Fox tungsten asset that is owned by Happy Creek Minerals. LRC acquired a 1.25% net smelter return royalty for approximately $260,000. The Fox tungsten asset holds a mineral resource of 1.15 million tonnes at 1.231% tungsten trioxide. The company announced a 100-hole 10,000-meter drill campaign in September to enlarge the resource. Tungsten is a critical mineral in several countries, including Canada, the United States and the European Union. Approximately, 85% of global production emanates from China, Russia, and North Korea, high in the strategic nature of the Fox tungsten asset given its high-grade ore body located in British Columbia. Tungsten has a high melting point and extreme durability with applications in the defense industry, semiconductors, robotics and electric vehicles. This is a very complementary acquisition for LRC, and that it is a small cash outlay and leverages the strong intellectual property the LRC team holds in critical minerals as an extension of our very strong position in the lithium sector. With this acquisition, LRC's portfolio is mainly exposed to lithium, but now benefits from other key exposures, including silica quartz, cesium and tungsten. Our focus remains to grow the acquisitions of additional lithium royalties. But to the extent there are tactical opportunities in critical minerals that are relatively small in capital outlay, yet benefit from our IP within the sectors of electric vehicles, energy storage, robotics and eVTOL, they will continue to evaluate opportunities as they arise. In this vein, our pipeline continues to grow and improve. Our preference remains to acquire royalties on cash flowing or near-term cash flowing assets, and we feel that we can be selective given the stage of the cycle. Our pipeline is robust, and we are optimistic about potential royalty acquisitions in the quarters ahead. As we mentioned previously, given that we have royalties on some of the best assets globally, we will remain prudent on when to deploy additional capital. I will now pass to Dominique, who will discuss our financial results.
Dominique Barker: Thank you, Ernie. Our royalty revenue this quarter was $417,000, up from $224,000 in the same period last year and up from $127,000 last quarter. The price of lithium is up quarter-on-quarter for the first time since our IPO, coming off the bottom of approximately $600 per tonne for spodumene in June 2025. That and QP adjustments upwards, both quarter-on-quarter and year-on-year were factors that contributed to the revenue increase. The most material financial event for our company this past quarter is the start of production and revenue generation at Tres Quebradas in Argentina. While the production at Tres Quebradas this quarter was minimal, owing to the short period of production in September, we expect more normalized production in line with what Zijin has said, namely annual nameplate of 20,000 tonnes per annum. We are also pleased to report that we received the first royalty payment from Zijin in U.S. dollars. It is also worth noting that the risk in Argentina continues to be manageable with the 10-year bond in Argentina moving up over 20% after the election results last week and stabilizing there. We would not have expected any impact of the election on our investments in Argentina. That's because the commodity is exported and our royalties are paid in either Canadian dollar or U.S. dollar. However, I do think it is still worth noting to you that the country is on the right track and helps in the perception of our investments. G&A was $1.6 million in the quarter, compared to $1.3 million in the same period last year. Noncash G&A stock-based compensation was $478,000 in the quarter, compared to $407,000 in the same period last year. Taking this into account, our cash G&A was $1.1 million this quarter, compared to $1.2 million last quarter and $1.1 million in the same period last year. LRC's adjusted EBITDA was a loss of $1.1 million in the quarter, compared to a loss of $1.1 million in the same period last year, and a loss of $1.5 million last quarter. The decrease in loss compared to last year is primarily due to the increase in revenue. The loss is comparable to last quarter. With regards to balance sheet, our position is strong. We had $27.5 million of cash at quarter end and no debt. We were active on our NCIB and repurchased 4,400 shares in the quarter at an average price of $5.90. As most of you will know, the rules on share buybacks are restrictive, so we were limited on the quantity we could repurchase in the quarter. However, we do continue to look for opportunities, and we still have an ability to purchase up to 1.2 million shares on our current NCIB. I will now pass it back to Ernie, for closing remarks.
Ernie Ortiz Ortega: Thank you, Dominique. I will now provide an overview of the lithium market. Lithium demand growth has remained strong and resilient throughout 2025. LRC estimates that lithium demand is on track to grow by north of 25% this year. The largest end market currently is electric vehicles, but that is rapidly diversifying. Like how electric vehicles amplify the demand profile of lithium for mobile electronics a decade ago, the lithium market is seeing an expansion of its end market base as battery technology proliferates across the energy storage, robotics, humanoid, shipping, and electric vertical takeoff and landing, or eVTOL. These new end markets are important for two key reasons. First, the energy storage market is one of the fastest-growing end markets within the lithium industry with channel checks suggesting energy storage deployments are on track to grow by approximately 60% in 2025. This is above initial expectations from battery sector analysts. Furthermore, while 2026 growth estimates are preliminary, some estimates call for another strong year of growth on the order of 60% again. The energy storage market is opaque, which we believe can lead to an underestimation of demand. LRC estimates that energy storage could comprise approximately 30% of global lithium demand this year, showing the growing importance of energy storage. Second, the new applications from robotics, humanoid, shipping and eVTOL are fragments of the market that are likely not yet counted in demand estimates for lithium. These markets are seeing major capital investments such as with SoftBank's acquisition of ABB's Robotics division for $5.4 billion. Meta's progress towards its own robot called the Metabot and several leading tech companies expanding in the robotics industry. Furthermore, several companies are working towards electric air aviation with Elon Musk commenting just last week that there could be a product unveiling before the end of the year in this area. Within the electric vehicle sector, demand growth remains strong with Rho Motion reporting 26% year-on-year growth for EVs globally on a year-to-date basis. The growth was led by Europe with growth of 32%, followed by China at 24%, and North America at 18%. Europe is the second largest electric vehicle market, and the market is seeing a rapid acceleration in growth rates. This is being led by more options of affordable mass market EVs and more funds allocated to EV subsidies on the continent. In Europe, BNEF is tracking to at least 7 new EV models that are priced below EUR 25,000 to be unveiled in 2026. In addition, they believe there will be at least 19 affordable models available by the end of 2027. On top of this, Germany recently announced a EUR 3 billion subsidy campaign to provide for EUR 4,000 subsidy for certain electric vehicles. This follows some of the recent commitments from the U.K., Italy and France. The subsidies announced amount to over EUR 4.5 billion in support for electric vehicle market in Europe that started in the second half of this year, but with full effects likely to be felt next year. We have already touched on energy storage, but a few other anecdotes worth sharing. LG Energy Solutions recently increased their backlog in the energy storage sector to 120 gigawatt hours from 50 gigawatt hours just a quarter ago. Tesla reported year-to-date energy storage deployment growth of 60% year-on-year with the most recent quarter showing 81% year-on-year growth. Tesla commented on the earnings call that demand for energy storage continues to be really strong into 2026. In contrast, supply growth appears to be moderating on the back of low prices, lower returns and limited capital raisings in the lithium sector in the last couple of years. Over the last 4 years, supply growth averaged approximately 30% per year. Over the next 3 to 4 years, consensus supply growth is forecasted to grow by mid-teens per year. In other words, supply growth rates are expected to half versus the recent history in the lithium market. Should demand trends remain robust as they have been in 2025, there is a potential to rebalance the lithium market sooner rather than later. Data providers in the sector suggests that there have been monthly drawdowns of inventory in China in both September and October. Current battery production trends suggest continued firm demand in November as well. SMM reports that inventories have declined by 11% since the recent peak in July, although it is important to note that we are in a historically strong season for demand and tracking industry trends in the next quarter will be important. To conclude, LRC is well positioned to thrive in the quarters and years ahead. LRC has a strong balance sheet with $27.5 million in cash for which we continue to evaluate attractive opportunities. This quarter marked an important milestone as Zijin Mining started the Tres Quebradas project. We expect operations to ramp up and royalty revenue to increase as we head into 2026. Our portfolio continues to progress, and we believe visibility into the organic growth profile of the business will improve as portfolio companies achieve their milestones. The industry is lapping the most negative impacts from price declines of this current downturn. At current prices, the fourth quarter of 2025 is expected to be the first quarter of positive year-on-year price growth in spodumene concentrate since our IPO. SC6 prices are now at $950 per tonne, compared to $850 per tonne exiting the third quarter of 2025. The combination of asset start-ups such as Zijin, and Ganfeng, with a potential pricing recovery should help revenue growth in 2026. We are encouraged by the resilient demand in the lithium sector, with energy storage growth rates surpassing market expectations. The positive incremental demand has the potential to rebalance the market earlier than expected. Our pipeline remains strong, and we are evaluating more high-quality opportunities with a focus on advanced assets with a near-term path to cash flow. We believe we are well positioned to grow and thrive in the years ahead. LRC is set to benefit from operating leverage from more volume and potentially higher prices. This will be enhanced by a strong balance sheet that will allow us to unlock further growth via additional royalty acquisitions. With that, I will pass it back to Jonida for Q&A.
Jonida Zaganjori: Thank you, Ernie. We are ready now to open up the lines for Q&A.
Operator: [Operator Instructions] Your first question comes from the line of David Deckelbaum with TD Cowen.
David Deckelbaum: Curious just with the Tungsten acquisition, if you could add a bit more color there on just how that came to pass and with maybe some of the recent Trump administration initiatives around reshoring the supply chain in the U.S. and obviously, what we've seen up in Canada with Carney, are you looking outside of the lithium world a little bit more aggressively now as sort of a longer-dated opportunity for some attractive value here as we attempt to reshore the supply chain here?
Ernie Ortiz Ortega: Sure. David, yes, so this acquisition came through our network. So as I alluded to in prepared remarks, we do have a very strong IP in lithium, but lithium as a critical mineral does touch other verticals that have the same end markets as other critical minerals. So through our network, we were able to evaluate the secondhand royalty on the tungsten asset. It's one of the highest grade assets in North America and just generally in the West. So we thought given our IP in the space, given the strength of our network, we were able to capitalize on that. And we do think it provides very good optionality. The returns are very high for something like this, and we were able to assume very conservative assumptions. So we do think it adds an element of diversification. But at the same time, our preference right now is for Lithium Royalty. So it is a relatively small outlay. We are looking at other critical mineral royalties. I wouldn't say we're looking at it more aggressively than we have been in the past. I think just our network continues to grow and expand. And as our cash balance is still very strong, we are able to be more opportunistic and tactical when it comes to evaluating these opportunities. But we do take note in some of the new government efforts, particularly in the West of trying to bring more supply into the domestic market and allied countries. And we think LRC will be an important avenue to finance some of these mines, mostly in lithium. But like I said, if there are some tactical opportunities in other critical minerals where it's not competitive, it's bilateral, it's within our network, and we can leverage our IP, then I think it's something that we will continue to look at.
Operator: Your next question comes from the line of Patrick Cunningham with Citi.
Patrick Cunningham: You provided a pretty helpful time line on the upcoming milestones and you expect to get some inaugural royalty revenue from Mariana next year. I guess what should we expect in terms of order and payment timing, revenue step-up throughout 2026? And any milestones that we should be aware of just to be tracking in real-time when some of these assets start producing?
Ernie Ortiz Ortega: Patrick, so every asset is different. And as we've seen with some of these start-ups, the timing of shipments is particularly important. And obviously, with prices also being quite volatile, that can also impact the cadence and the timing of these shipments. By way of an analog, Sigma, for example, in 2023 started production in April and then -- but their first shipments started in the third quarter of the year. So we didn't record first revenue until the third quarter of 2023, and then means we got the cash afterwards once the payments were due. So that's an analog from prior iterations. Of course, every asset is different. And in this case, 3Q was actually quick to do a small shipment, even though it's small. So we did get payment in the in the third quarter. But we suspect that once they have steady production, this will likely not be as a huge impact as far as timing and cadence of shipments. We do know there are, I guess, monthly export data that we're tracking out of Argentina and other countries to help have a better visibility into the timing of shipments and production. But I think we're just very pleased that Zijin was able to get one small shipment and now production seems to be going in the right direction. So I think it's something that as we get additional color from our operators, we'll provide additional information. But right now, I guess, we're sensitive to what they've disclosed.
Patrick Cunningham: Then maybe just a higher-level lithium market question. Just given some of the volatility you discussed and obviously, it seems like equity values and pricing increases in lithium are likely to stay somewhat volatile. How much of it is short-lived and maybe sentiment-driven versus structural? I guess maybe a better way of asking that question is, has this current view or updated supply or demand view changed your underwriting assumptions or long-term price outlook?
Ernie Ortiz Ortega: Sure. So our long-term pricing outlook and expectations haven't changed all that much. And we will actually also mention that even consensus long-term price expectations haven't changed dramatically even throughout the last 2.5 years. So since I think like 2 years ago, consensus had around $1,400, $1,450 a tonne for long-term spodumene price and now on our tracker, it's around $1,300 a tonne. Of course, near-term prices have shifted dramatically, but the long-term price expectation hasn't shifted too dramatically, either internally or externally. We think the recent volatility, it's something that is part of the course for lithium. It's a nascent market, and we think volatility, while it likely diminishes over time as the sector grows, it's still nascent. So it still needs time to mature and to develop. But I think bigger picture, what is the most important is that this is being a demand-led kind of price firming in the last 3 to 6 months. The biggest story has been energy storage and that demand is surpassing expectations by very big numbers. And now from our prepared remarks, we think it could be 30% of the market. And if that continues to grow at similar growth rates, which some expect in 2026, that alone could be around 18% of demand growth in 2026. So obviously, we're taking it day by day. But right now, I think the bigger picture is that we are encouraged by the energy storage market. So it's being -- it's a demand-led story for the time being. And it hasn't changed our views dramatically. But of course, we're always trying to maximize value for shareholders. So we're trying to get the highest returns on the lowest assumed prices possible.
Operator: Your next question comes from the line of Katie Lachapelle with Canaccord Genuity.
Katie Lachapelle: Can you just quickly discuss some near-term capital allocation priorities, royalty transactions versus buybacks? I know during the quarter, you highlighted that your current pipeline is very robust. So maybe some incremental detail there and when you believe that some of those transactions could be announced if it's near term or medium term, et cetera?
Ernie Ortiz Ortega: So as far as capital allocations, the priority is still to acquire additional royalty acquisitions. We did retire about 9% of the float this year by way of buyback. And that has been a very attractive return for our shareholders given the return that they've seen to date. But like I said, the pipeline remains robust. We are seeing activity that is picking up, evaluating several projects. The product attributes remain relatively similar as discussed in the past. We're looking at high-grade, low-cost assets with a preference for near-term cash flow ranges between, say, USD 3 million to as high as USD 30 million to USD 40 million. We are hopeful that we can announce something in the next couple of quarters. But of course, it depends on 2 parties involved. But I would say, we're seeing more robust levels of discussions recently, and that is very encouraging to see. But of course, we'll take it day by day. And to the extent that we can be opportunistic with the shares since we do have a very strong balance sheet, I think we do have a very optimistic view of where the company can head over the next few years. So we will look to stay active where we can on the buybacks.
Operator: At this time, we have no further questions. I'll turn the call back over to you, Jonida, for closing remarks.
Jonida Zaganjori: Thank you to everyone who joined us today. This concludes our third quarter 2025 results call. Goodbye.
Operator: Ladies and gentlemen, this concludes your conference for today. We thank you for participating and ask that you please disconnect your lines.